Operator: Good day, everyone, and welcome to the Cintas Corporation Announces Fiscal 2026 First Quarter Results Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Mr. Jared Mattingley, Vice President, Treasurer and Investor Relations. Please go ahead, sir.
Jared Mattingley: Thank you, Ross. Thank you for joining us. With me are Todd Schneider, President and Chief Executive Officer; Jim Rozakis, Executive Vice President and Chief Operating Officer; and Scott Garula, Executive Vice President and Chief Financial Officer. We will discuss our fiscal 2026 first quarter results. After our commentary, we will open the call to questions from analysts. The Private Securities Litigation Reform Act of 1995 provides a safe harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the company's current views as to future events and financial performance. These forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained in our most recent filings with the Securities and Exchange Commission. I'll now turn the call over to Todd.
Todd Schneider: Thank you, Jared. We are pleased with our start to fiscal year 2026, reflecting the strength of our business model and the dedication of our employee partners. Our first quarter performance is a testament to the strength of our value proposition. First quarter total revenue grew 8.7% to $2.72 billion. The organic growth rate, which adjusts for the impacts of acquisitions and foreign currency exchange rate fluctuations, was 7.8%. This is right where we like to be. Each of our three route-based businesses had strong revenue growth in the quarter. Gross margin as a percent of revenue was 50.3%, a 20 basis point increase over the prior year. Operating income grew to $617.9 million, an increase of 10.1% over the prior year. Diluted EPS of $1.20 grew 9.1% over the prior year. Our culture continues to be our greatest competitive advantage. We've shown an ability throughout the years to perform well in a variety of macroeconomic environments. Our ongoing investments continue to help drive revenue growth and expand margins. These investments include technology to make it easier for our employee partners to do their jobs, whether that is growing the business or making us more efficient. Reflecting our strong first quarter performance, we are raising our fiscal 2026 financial guidance. We expect our revenue to be in the range of $11.06 billion to $11.18 billion, a total growth rate of 7% to 8.1%. We expect diluted EPS to be in the range of $4.74 to $4.86, a growth rate of 7.7% to 10.5%. With that, I'll turn it over to Jim to discuss the details of our first quarter results.
James Rozakis: Thanks, Todd. I want to begin by discussing our strong revenue performance. Our employee partners continue to perform at a high level and demonstrate that our value proposition resonates with all types of customers. We are seeing great success in converting no-programmers, selling additional products and services to our existing customers as well as retaining our valued customers. Let me provide an example. Recently, there was a department of transportation located in Northwest that was a do-it-yourselfer or what we refer to as a no-programmer. The employees purchased more of their own clothing, while the highway department provided the required high visibility safety vest to be worn over their personal garments. They reached out and expressed challenges with their safety vest program, including the time and effort [ administering ] the program, budgeting difficulties and inconsistent compliance among workers. Cintas was able to offer a solution with our recently expanded line of Carhartt high-visibility safety apparel. These high visibility garments were well received by the employees and have allowed the highway department to receive the benefits of the Cintas rental program by providing an exclusive Carhartt branded rental garment for daily use, Cintas' reliable service, a reduction in administrative time and effort, more predictive budgeting, the convenience of a laundry service and improved safety compliance among their workers. This example illustrates how our value proposition continues to resonate with customers in many different verticals throughout various economic cycles and to customers of all types, including no-programmers. Now turning to our business segments. Organic growth by business was 7.3% for Uniform Rental and Facility Services, 14.1% for First Aid and Safety Services, 10.3% for Fire Protection Services and Uniform Direct Sale declined 9.2%. Gross margin percentage by business was 49.7% for Uniform Rental and Facility Services, 56.8% for First Aid and Safety Services, 48.9% for Fire Protection Services and 41.7% for Uniform Direct Sale. Gross margin for the Uniform Rental and Facility Services segment increased 40 basis points from last year. This improvement is a result of strategic sourcing by the supply chain team and process improvement initiatives from our engineering and Black Belt teams. In addition, strong revenue growth is helping to generate leverage. Gross margin for the First Aid and Safety Services segment was 56.8%. We are pleased our investments to grow this business are generating strong double-digit revenue growth while maintaining attractive gross margin. Selling and administrative expenses as a percent of revenue was 27.5%, which was a 10 basis point decrease from last year. With that, I'll turn it over to Scott to discuss our operating income, capital allocation performance and 2026 guidance assumptions.
Scott Garula: Thanks, Jim, and good morning, everyone. First quarter operating income was $617.9 million compared to $561 million last year. Operating income as a percentage of revenue was 22.7% in the first quarter of fiscal 2026 compared to 22.4% in last year's first quarter. This was an increase of 30 basis points. Our effective tax rate for the quarter was 17.6% compared to 15.8% last year. The tax rates in both quarters were impacted by certain discrete items, primarily the tax accounting impact for stock-based compensation. Net income for the first quarter was $491.1 million compared to $452 million last year. This year's first quarter diluted EPS was $1.20 compared to $1.10 last year, an increase of 9.1%. Cash flow provided from operating activities was $414.5 million. Our strong cash generation allows us to have a balanced approach to capital allocation in order to create value for our shareholders. In the first quarter, we continued to invest in our businesses through capital expenditures of $102.0 million. Although not significant, we were able to make acquisitions in all 3 of our route-based businesses. We also returned capital to shareholders via our quarterly dividends and announced an increase of 15.4% in our quarterly cash dividend. This marks the 42nd consecutive year that we increased our dividend, meaning we have maintained that practice every year since going public in 1983. Also during the first quarter and as of September 23, we were active in the buyback program with repurchases of $347.4 million of Cintas shares. Earlier, Todd provided our updated guidance for the remainder of the year. That guidance assumes the following expectations: please note both fiscal 2025 and fiscal 2026 have the same number of workdays for the year and by quarter. Our guidance does not assume any future acquisitions, our guidance assumes a constant foreign currency exchange rate, the fiscal 2026 net interest expense of approximately $97.0 million, a fiscal 2026 effective tax rate of 20.0%, which is the same compared to our fiscal 2025. And finally, our guide does not include any future share buybacks or significant economic disruptions or downturns. With that, I'll turn it back to Todd for some closing remarks.
Todd Schneider: Thank you, Scott. Looking ahead to the remainder of fiscal 2026, our outlook reflects continued confidence in our strategy and in the value we provide by helping customers meet their image, safety, cleanliness and compliance needs. We remain committed to delivering exceptional customer experiences and making the investments necessary to sustain growth for fiscal 2026 and well into the future. As always, I want to express my appreciation to our employee partners for their dedication to Cintas and our customers. Our culture remains our strongest competitive advantage. I'll now turn it back over to Jared.
Jared Mattingley: Thanks, Todd. That concludes our prepared remarks. Now we are happy to answer questions from the analysts. Please ask just one question and a single follow-up if needed.
Operator: [Operator Instructions]. And our first question comes from Manav Patnaik from Barclays Capital.
Manav Patnaik: I just had a question. The highway example, I guess, you gave in converting from non-programmer to your customer was very helpful. In the context of more budget pressures if the macro weakens, I was hoping you could give us some historical anecdotal examples, maybe if that's a positive for you guys in terms of accelerating the pace of converting non-programmers to your clients?
Todd Schneider: I think we've demonstrated we can grow in many ways. And certainly, in environments where people are under more pressure than we help customers in those circumstances to free up cash flow, we help them to -- for budgetary purposes, give them back more time. And when you think about an environment where in Jim's example, where the customer was struggling to manage the program. This frees them up and frees them up to focus on other areas. We like to talk about when you outsource to us, it allows our customers to then focus on their customers, gives them back time, gives them back certain times save them money, certainly smooths out budgeting and cash flow. So we've demonstrated we have the ability to do that. And we're able -- we're confident we're able to continue to convert no-programmers or the do-it-yourselfers over. And we've been doing that for many years, and we'll continue to do that as well.
Manav Patnaik: Got it. And just as a follow-up, on the fire side, the decline in gross margins, I'm guessing, is that because the SAP implementation is in full swing now? Or just any updates on that, please?
Todd Schneider: Yes. Certainly, we're busy working on SAP for our fire business, and there are additional costs that come along with that. But we're quite bullish on that business, and we're investing for the future in that business. And that includes all kinds of different investments with bench strength, operational capacity, technologies around that, not just SAP but other items. So that -- as we expand that business, we're going to continue to make investments. And those investments are smart and important for us to be successful, not just in the near term but in the long term as well.
Operator: And our next question comes from George Tong from Goldman Sachs.
Keen Fai Tong: Can you provide an update on the overall selling environment, including client budget trends and sales cycles?
Todd Schneider: George, as far as customer behavior, we really -- there's nothing specific to call out. I wouldn't say there's any changes to sales cycles, nothing like that. It is -- we're certainly operating in a -- I'll call it, a somewhat uncertain environment but -- right now. But despite that uncertainty, the value proposition that we provide continues to resonate and can -- as I referred to earlier, can even improve during uncertain periods. The outsourcing can improve and steady the cash flow that I talked about. But we continue to sell good new business. We like that very much. Retention rates are still at very attractive levels. And the customer base that you asked about was steady. If anything, I would say, improved slightly during the quarter.
Keen Fai Tong: Got it. That's helpful. And then you increased your revenue guidance as well as your EPS guidance. Can you elaborate on parts of the business that outperformed your initial expectations to drive this increase in the outlook?
Todd Schneider: Great question, George. Thank you for that. The guide first off is right where we like to be. We're performing really well, and we like the momentum we have in the business. I'd just like to point out the implied growth in Qs 2 through 4 is higher than the opening guide at all points within the range. And we like the range that we're in, especially with this, as I mentioned, somewhat uncertain environment. But our 3 route-based businesses are all performing very well, and we like the momentum we have in each of those. And we're encouraged by that momentum. And again, our value proposition is continuing to resonate and has in all kinds of environments, and it's showing its strength in the current operating environment.
Operator: And our next question comes from Tim Mulrooney from William Blair.
Benjamin Luke McFadden: This is Luke McFadden on for Tim Mulrooney. So we've seen growth in on-farm payrolls decelerate somewhat meaningfully over the last few months. I'm curious if this showed up at all in net wearer levels across your rental business during the quarter.
Todd Schneider: Yes, Luke, thanks for the question. Certainly, when we've seen that -- we're reading the same information that you're reading about the employment levels. But our team continues to execute at a very high level. I mentioned the uncertainty environment can create opportunities for us. And we've demonstrated that we can grow in excess of jobs growth in GDP. So we would way rather swim downstream and have jobs be incredibly abundant, but we've demonstrated that we can win in many ways. Certainly, converting over no-programmers is a very important component of our growth, selling additional products and services into our existing customers. I mentioned, we have -- our retention levels are really good. And we do take business from the competition, although that's not our major focus. M&A has been important to us over the past few quarters, and we can talk about that more, but we like the pipeline there, and pricing is included as well. But we have the ability to grow. And we'd love employment to pick up dramatically, but we're not counting on that, and we're going to continue to run our business and grow it successfully. Sure, we'd love for it to be easier, but it's -- we're doing it in an impressive manner.
Benjamin Luke McFadden: Really helpful. And if I can just build off of that, I heard the comment earlier about strength just in terms of demand actually growing through the quarter. Could you perhaps just elaborate on that a little bit and maybe talk about just demand trends through the first few weeks of the second quarter here?
Todd Schneider: Yes. Nothing really, I would say, different in the start of the quarter compared to the results that we're posting. But you see that our rental business is performing well. And you referred to earlier, the employment levels. Again, as I mentioned, we'd like to swim downstream with employment. But we're continuing to grow our business at attractive levels without that. But nothing -- no real changes in the demand from Q1 to 2 so far. But we like the momentum we have in each of our route-based businesses. Rental, as you saw, is performing well, but they're all performing well. So we're encouraged by that.
Operator: And our next question comes from Andrew Steinerman from JPMorgan.
Alexander EM Hess: This is Alex Hess on for Andrew. I wanted to start with the comment about -- to refocus on this of the customer base being steady or if anything, improving slightly. When you guys make that call out, like what are you actually looking to, to make that? Is that anecdotal? Is that based on any piece of data you look at? Like we all see the jobs number. We all see the macro data. Just trying to understand exactly what you're trying to point investors to when you make that call out? And then I'll ask my follow-up.
Todd Schneider: Yes. Thank you, Alex. Yes. So wearers matter to us for sure, but we have many ways to grow our business. And I think it'd probably be appropriate. Jim, do you have an example to maybe share on how we go about doing that?
James Rozakis: Yes, sure. I think that we could talk a little bit about our strategy to expand our relationship with our current customers. We brought that up a little bit on the last call. And effectively, we don't really matter -- it doesn't matter to us which business line we start with a customer. Our objective is to get a business line into a customer to create an exceptional customer experience, to build a relationship to become a trusted resource for that customer. So how does that play out over time? Well, we have -- I got an example here of a customer out in the Southwest, that was a manufacturing customer, has been a long-term customer of ours, utilizing our uniform rental program. They are going through an exciting time, and they're expanding their business, opening another line and opening another building. And during those conversations, our folks are actively involved in conversations with them on a day to day. And again, trusted resource. They asked about setting up the garments, the rental program, uniform rental program in the new building. And during those conversations, the customer expressed how busy they were. It's an exciting time, but obviously a lot on their plate, and they needed some help and asked what other items we can help out with. And we were able to go ahead and add facility service line to the new building. We were able to add our First Aid and Safety Services to the new building and Fire Protection Services to the new building. So this is an example of us being in the door, having a great relationship, the customer looking at us as a trusted resource and in a time of a lot of work and being a little bit slightly overwhelmed with the new assignment. They looked at us to say, how can you help? And we were able to go in and provide all those resources, add value to the relationship. And in many cases, this is things they've got to spend money on anyhow. So just diverting that spend to us because we've established ourselves as a trusted resource.
Alexander EM Hess: Understood. Appreciate that. And then just thinking about positioning for -- I know everybody's got peak job fears right now, but maybe the other side of that if we are at something like trough unemployment or trough non-farm payroll growth and that reaccelerates, maybe helping us think to where you guys can go from here? And then if you don't mind, I'll throw in one quick more. Any comments on sort of the inventory in uniforms and service injection that we saw this quarter?
Todd Schneider: Yes. So Alex, regarding employment, we're not in the prediction business of what will happen with there. I would -- that would delight us if our customers all were hiring a lot more people, but we're not forecasting for that. And then we're planning to grow our business in the -- I'll say, with the current environment. And our guide reflects, I think, attractive growth without the employment picture being real favorable. So yes, we'd love that. That would be super. Regarding the inventory item, Scott, do you want to take that?
Scott Garula: Yes. Thanks, Todd. I would just answer that question that you've seen a nice steady uptick in growth in our rental business really over the last 4 quarters. We continue to see strong growth out of both our First Aid and Safety business as well as our Fire business. And when that happens, we've stated in the past that we're going to have a use of capital, and that would include the injection of garments for the Uniform Rental business. So I would say that's just reflective of the growth that you're seeing in all 3 of our route-based businesses.
Operator: And our next question comes from Joshua Chan from UBS.
Joshua Chan: Great job growing through a choppy environment. I guess I'm wondering, as you look at the different verticals within your business, are you seeing customers behave differently in some of the more stressed verticals, recognizing that you can kind of grow through any of the environment, but just wondering if there's any subtle behavior change kind of by vertical?
Todd Schneider: Josh, good question. We're not seeing really any change in behavior in each of the verticals. Again, we think we've chosen those verticals really well. They're all accretive to our growth. And just as a reminder, we don't just sell into them. We organize around them and spend an inordinate amount of time with those customers trying to help them run their business. So -- but I wouldn't speak to any real change in behavior there. As a reminder, health care is a great vertical for us, the hospitality business as well, the education vertical and then the state and local governments. All are performing well and pretty consistently as well.
Joshua Chan: Great. And I noticed that on the EPS guidance, it's a little wider at this juncture of the year than it was last year at this time. Is there any color regarding that or kind of the thought process behind that?
Todd Schneider: No, I wouldn't say, Josh, I wouldn't read anything into that. We like where our guide is. We like where our business is performing. And as we think about that, it is a -- we're in a position where the guide would explain to you that we're in a spot where we think our incrementals are attractive. We're able to grow the business nicely. It's right where we like to be, meaning we're performing really well and like the momentum. The -- we've increased the guide at all points in the EPS within the range. Q2 through 4 implied guide also increases at all points within the range. And then also the incrementals are right where we like them to be at that stated 25% to 35% range. And it also implies margin expansion within there as well. This range, Josh, allows us to make investments that we need for the long term. And -- but being able to make those investments while improving margins at the exact same time, it's real strength of our business.
Joshua Chan: Congrats on the raised guidance.
Operator: And our next question comes from Jasper Bibb from Truist Securities.
Jasper Bibb: I joined a little bit late, so apologies if you already covered this, but I was just hoping you could update us on what you're seeing on the tariff-driven expense growth front at this point, and maybe that's -- how that's compared to your initial expectations for the year.
Todd Schneider: Jasper, thanks for joining the call, and that subject has not come up yet. So glad you asked. As you know, the situation around tariffs has been really dynamic, and we certainly aren't immune from any impact of higher costs as a result of tariffs. However, I'll say our global supply chain is a true competitive advantage for us. And our team really exemplifies our corporate culture. Our traits of positive discontent and competitive urgency, they fuel our process improvements and drive us, frankly, to be more efficient. So we don't simply accept product costs are increasing and then pass along to our customers. That's not our culture, and that's not how we run our business. But we also have some other built-in advantages there. We've got, as you can imagine, significant purchasing power. We also have great geographic diversity. We also -- 90% plus of our products, I have 2 or more providers. All of this gives us optionality. When tariffs go across the board, they go up, the geographic diversity can give you some advantage, but not as much. But our -- what doesn't change is our drive for process improvement and our drive for more efficiencies so that we can extract those out of our organization. And I'd just like to remind you that our guide contemplates the current environment for tariffs as well.
Jasper Bibb: Got it. And then curious about sales cycles for no-programmers. Has there been any change there so far this year and what you're seeing in customer behavior?
Todd Schneider: No real change on the sales cycle for no-programmers or frankly, in general. I'd say the sales cycle has remained pretty consistent, and we're continuing to invest for the future that we're prepared to be successful ongoing.
Operator: And our next question comes from Andrew Wittmann from RW Baird.
Andrew J. Wittmann: And maybe, Scott, one for you. On the First Aid segment gross margins, they were down a decent amount year-over-year. And I was wondering if you could help us understand what either happened this quarter that caused them to be down or maybe in the prior year, if there was a comp issue just so we have a better understanding about the gross margins there in First Aid.
Scott Garula: Yes, Andrew, thanks for the question. I'll go back to some comments that Todd mentioned. Nothing really to call out here. We continue to invest in all of our route-based businesses, specifically in both our First Aid and Fire business. I think you're seeing the benefits of those investments show up in the double-digit growth rates that we're enjoying in both our First Aid and Fire business. Jim, I don't know if you want to comment further on that First Aid business.
James Rozakis: I would - Andy, I appreciate the question. And so our gross margin for First Aid and Safety is actually flat sequentially. We did have a little bit of a challenging comp from Q1 of last fiscal year to this fiscal year. But we really love where that business is positioned, and we continue to make investments, specifically in areas like route capacity, leadership bench strength, technology, selling resources and managing trainees. So I would just call that more of a timing issue around the business isn't linear, and we want to make the investments for the future. We really like the outlook of that business.
Andrew J. Wittmann: Got it. So just to build on that then, Jim, do you think that fiscal '26 is a higher investment year in some of these things like route leadership, management trainees, technology than it was in 2025? Obviously, '25 margins was a big story for the year. They were so impressive, way above the incrementals and I know that, tell me, this is kind of more like what you've talked about for the long term. But I'm just wondering like as you compare this year to last year in terms of the P&L investments that you're making, is this a higher year than last year? Is that part of the reason why we're seeing the margins be good, but not quite as good as last year in terms of the improvement year-over-year?
James Rozakis: Andy, I would more call out a little bit of timing, meaning there's investments that are made periodically. I think you saw us begin to invest a little heavier in the fourth quarter of last fiscal year, continuing to put on those selling resources and adding the route capacity. So more of a timing issue. But yes, we are continuing to invest in that business, and we really like the outlook on it.
Operator: And our next question comes from Jason Haas from Wells Fargo.
Jun-Yi Xie: This is Jun-Yi on for Jason Haas. Curious, are you seeing any change in the competitive environment? I know historically, most of your wins come from no-programmers, but we're seeing a lot of your peers struggle in this environment with one of your peers laying off a big portion of their sales force recently. So curious if you see a growing opportunity to win share from your competitors.
Todd Schneider: Yes. Thank you, Jun-Yi, for the question. The overall market remains very competitive. Our retention rates are still very strong. The new business wins come, as you know, from -- mostly from no-programmers more so than the competition. And we love that huge TAM of that unserved market that do-it-yourselfers or no-programmers. We will certainly take business from traditional competitors, but that's not really where our focus is, not where we focus our time and our efforts. We recognize that one of our particular competitors is working on their foundation. But again, it's not where our focus is. We see this huge TAM of opportunity with people that are do-it-yourselfers, the 16 million, 17 million businesses out there in the U.S. and Canada. We're servicing a little over 1 million. There is a massive opportunity. So that's really where we spend our time and the focus to help expand that market. And it's worked for us quite well, and that's our plan for the future as well.
Jun-Yi Xie: Great. And for my follow-up, can you talk about what's driving the softness in the operating margins for the All Other segment?
Todd Schneider: Well, the All Other segment, as you know, is the Fire and the Design Collective business. Our gross margin in the All Other is -- was up 10 bps sequentially, down 30 year-over-year. But we're investing appropriately in all of those businesses. And we like the returns that we're getting in our 3 route-based businesses specifically. And we're investing for the future because we see the opportunity that's out there. And so we're going to continue to, as Jim mentioned, invest in bench strength capacity. We're going to invest in leadership, management trainees, sales resources, all those. And we're doing that because we see the opportunity ahead. Certainly, we do have some additional costs with SAP in the Fire business as we are still going through that process. And -- but those are, again, our investments for the future. And we think the future is quite bright. So we're going to invest appropriately.
Operator: And our next question comes from Ashish Sabadra from RBC.
Ashish Sabadra: Maybe just a quick one on the Uniform Direct Sales. I know that can be pretty choppy quarter-to-quarter, but I was just wondering if you could talk more about some of the softness that we saw in the quarter, but also any comments on the trend going forward.
Todd Schneider: Yes. Thank you, Ashish. The Uniform Direct Sale business is a strategic business for us, not so much in the size of it because it's only 2.6% of our revenue but in the nature of those customers, meaning we sell all of our route-based businesses into those customers. An example would be if you think about a hotel, the front of the house with the front desk, the [ bellhop, ] the concierge, if you're doing business with them in the front of the house, that can lead to the back of the house opportunities which tend to be in rental, which would be housekeeping, maintenance, culinary. So this is a strategic business for us. And it allows us, again, not just sell Rental, but to sell First Aid into those customers and to sell Fire as well. So very important. Certainly, the Uniform Direct Sale business can be a bit lumpy with rollouts of large programs. But we like the business, and it's a strategic business for us.
Ashish Sabadra: That's very helpful information. Maybe just switching gears on M&A. Wondering if you could talk about the M&A pipeline, not just for more tuck-in deals, but also larger deals. And would you consider diversifying into newer areas? Any color on that front?
Todd Schneider: Yes. Thanks for the question, Ashish. First off, M&A is important to us. We have, I think, demonstrated that we can leverage our balance sheet to buy really good companies. And when we do that, we either get a really good capacity or we get really good synergies, sometimes a combination. So M&A is important to us. We didn't have as much M&A in Q1 as what we have over the last 12 months. But the funnel looks good. We like where we are, and it will be an important component for us. That being said, it's tough to predict those items. And because when a seller wants to sell, it's up to them, and we just want to make sure we're there and have great relationships and do exactly what we say we'll do so that we can make sure that the pipeline looks attractive. As far as getting outside of our current businesses, we're always looking at those opportunities. But the great news is we don't have to. The opportunity that we have in our current business is immense. So we're primarily focused there. But we're certainly always evaluating opportunities.
Operator: And our next question comes from Faiza Alwy from Deutsche Bank.
Faiza Alwy: Yes. I wanted to ask about the First Aid business again. And I'm curious, as you're making these investments sort of how your outlook for top line growth here has maybe changed or evolved? Because you've talked about you're seeing the opportunity. I know historically, we've thought about this business as a maybe low double-digit grower. So curious how you think about top line growth moving forward over the next 3 to 5 years?
Todd Schneider: Faiza, thanks for the question. We are making investments in that business, and we think we're doing so smartly. We do see it as a double digit -- low double-digit growth business, and it's performed really well over the last year. And we would expect that low double-digit number to be a good number for us. We are encouraged by how the business is performing, and we are going to continue to invest there, because the future is quite attractive for us. So we think about investments in the manner of, well, we want to make sure we're positioned for the long term. And so we're making those investments so that we can provide great customer service and position our employee partners to be highly successful. And doing so while increasing operating margins is, again, we think a real strength of our business. But we're investing in all of them of our route-based businesses, and the First Aid is performing very attractively, again, but I would think about it as a low double-digit growth business for us moving forward.
Faiza Alwy: Understood. And then just you talked about timing as it relates to the investments. So -- and it sounded like even in the fourth quarter of last year because you talked about sequential margins being similar, give us a bit more color on the timing? Like is this -- are you -- when do you expect to be sort of through with those? And do you -- how should we think about the incremental margins in that business going forward?
Todd Schneider: Yes. So Faiza, it is -- from a timing standpoint, we certainly have different initiatives in each of our businesses. First Aid is no different. We'll have certain rollouts of products, which might affect the mix. But we're planning to grow that business attractively. And I'll just remind you that, that 56.8% gross margin is really attractive. We're quite happy with it. We've had a significant increase over the last few years in that area. And we're going to continue to get leverage there. But it's a high level. And we think it's really good, and the mix of the business has been attractive for us. But we're providing more and more value to those customers. And then we're selling other items into those customers outside the First Aid business. So it all works quite nicely. And so I wouldn't be thinking of it as, oh geez, the First Aid margin is going to pop after certain timing. These are -- we'll get leverage. And we'll grow that business attractively and provide more value to customers, but we like where it is and in the future as well.
Operator: And our next question comes from Stephanie Moore from Jefferies.
Stephanie Benjamin Moore: I wanted to maybe follow up a question that was asked earlier in regards to M&A and kind of compare that to some commentary you made about growing your maybe other segments, Fire and Safety, for example. Maybe just talk about your appetite as you think about other areas within your total company as you look to expand? What is your appetite to further expand your Fire and Safety business? And how do you leverage both doing so organically as well as potentially opportunistic M&A?
Todd Schneider: Yes. Stephanie, thank you for the question. Our Fire business, we think the future is quite bright there. And we are very active in M&A in that business and growing it organically. And those, again, can just like any M&A can be a little lumpy, but we're quite active there. And we make, I would say, acquisitions almost every quarter in that business. Some of them are smaller, many of them are smaller. Some might give us an additional footprint and many of them are also tuck-ins. And when we -- we love both. When we get the additional footprint, that gives us an opportunity to invest in sales organizations and other resources and to self-serve that many more customers. And then when we do tuck-ins in that business, we get synergies from back office and other areas. And then how we go about running a business tends to be that we're able to extract out some efficient -- inefficiencies and run it in a more productive manner. So that's all part of our strategy. We really like that business. And we are acquisitive and will continue to be.
Stephanie Benjamin Moore: And then just one follow-up question. I think it's pretty well understood that based on your investments over 10-plus years, you have a very strong tech stack and have really invested back into your technology capability. So as you think about what you have in place now and the ability to leverage AI and machine learning and the likes of everything that we're talking about now, what are the conversations like internally as you think about the opportunity? Is it pretty incremental, just given you're already at such an advanced state from a technology standpoint to really leverage AI to either improve productivity or drive incremental business?
Todd Schneider: Good question, Stephanie. As you pointed out, investing in technology has been a key part of our strategy for many, many years and certainly not slowing. Our investment in SAP has created a really valuable foundation for which we can build upon. So we're really focusing our investments to help us in those areas. And I'll just call it technology umbrella. AI is a component, analytics is a component, algorithms, large language models, all that is part of it. But we're focused in -- really in 2 areas, making it easier for our customers to do business with us, via managing their account, getting answers to questions faster, making it easier for them to purchase additional products and services, paying their bill would all be components of it. And then the second area is making our employee partners more successful, putting information in their hands to make them more valuable to the customer. Spending their time in a more productive manner by eliminating administrative time and pointing them in the right direction to where to spend their time with the right products, the right prospects, the right areas of the business. So it's all important to us. Very important. It's part of our investment for the future, and we think it's going to be -- we'll continue to invest and will be attractive for us. But you've seen some of it with SmartTruck, myCintas, the best product, best prospect. And there's -- that's all ongoing and not slowing down. And we see a real opportunity for -- to leverage that tech stack and to also leverage our engineering and Black Belt resources, our Six Sigma team, all goes into play with that. So it's not just a technology, it's positioning the technology to make it easier for our customers to do business with us and make our people that much more successful.
Operator: And our next question comes from Scott Schneeberger from Oppenheimer.
Scott Schneeberger: I had 2 questions. I guess I'll ask them both upfront, although they're quite different. The first one is kind of playing off on some of these M&A questions. In the past, many years ago, you all had considered going international to a much greater degree and kind of doing so via existing customers who may -- large multinationals, who may have needed service outside of the U.S. Just curious, is that -- it has been quiet on the M&A front. Is that a consideration? And if so, what would be your approach? And then the second question is just on myCintas portal, would just love to hear any update on how that's progressing, maybe mix of what percent of sales is running through that now? What percent of payments? Any other metrics you may be offered to provide because you've been at that for a little while, and I imagine it's providing good productivity leverage?
Todd Schneider: Yes. Thank you, Scott. First off, on the M&A front, I wouldn't say it's been quiet on the M&A front. We had our very best year last year with the exception of -- in the last 20 years, with the exception of the year, we bought G&K. So we've been very active and the pipe continues to be attractive. On the international front, we certainly -- we have relationships, and we evaluate that on an ongoing basis. But the best news is we don't have to. We don't see a need to do that in order to grow our business. If the right opportunity showed up, we would, but we don't need to. We are -- as I mentioned, we're servicing a little over 1 million businesses and in the U.S. and Canada are 16 million, 17 million businesses. The white space of opportunity out there is immense. So we love the spot we're in, in the geography we're in. But that being said, we have those relationships, and we continue to cultivate those. And if the right opportunity presents itself, we would certainly evaluate it. And we have the ability. We have the bench. We have the culture. We have the balance sheet and the know-how and the ability to go to do something like that if we want to. Regarding the myCintas portal, that's really a platform that we use, not just for our customers for paying, but also for them to manage their account. And then we expanded so for other areas for our partners to be able to become that much more successful and productive to -- for handling customer requests. So that's -- I won't go into great detail about any metrics on that area for competitive reasons. But I'll just say it's an area where we continue to invest, and we see it as a competitive advantage, and our customers really like it. So when your customers like it and your employee partners like it, we think we've got something there and we're going to continue to invest because we see the opportunity to continue to provide additional value there.
Operator: And our next question comes from Toni Kaplan from Morgan Stanley.
Toni Kaplan: In light of all the news on visa requirements, are you expecting any impact from changes to impact your customers' hiring? I know it could be a little bit further out, but just wanted to understand how you're thinking about that.
Todd Schneider: Yes. Toni, it's a good question. We're certainly paying attention to immigration policy, but I can't tell you that we're seeing any material impact at all. Is there some impact? There might be, but we're not really hearing it much from our customers. We're not seeing it in the results. And certainly, the H-1B subject is a -- more of a technology -- it seems as more of a technology subject. So no real impact from the visas or the immigration that we can really refer to.
Toni Kaplan: Okay. Great. And then just a follow-up on All Other. You mentioned continuing to invest. We saw SG&A step up there in the quarter. Should we expect a similar level of investment throughout the year that would be really helpful to understand how SG&A, in particular, should continue to progress as we proceed through this fiscal year.
Todd Schneider: Yes. We think our SG&A investment is appropriate right now where it is. So I don't think you'll see a ramp up or ramp down from there from that perspective. So we're -- we like the spot that we're in. We like the levels of bench that we're at. And we think in totality that we got a 10 basis point improvement on SG&A for the company going from 27.6% to 27.5% year over prior. So I wouldn't overreact to the All Other, more of just a timing subject there. But we think that we're in a good spot from an SG&A investment and plan to get leverage on that over time.
Operator: And our next question comes from Kartik Mehta from Northcoast Research.
Kartik Mehta: I know you've answered the question I'm going to ask in parts, but I thought maybe if I could get you to give a comprehensive answer or just maybe a summary of all the answers you gave would be a good perspective. And the economy, it seems like has changed in the last 6 months. And I'd be curious from your perspective, at least the key metrics you look at for each of the businesses, what you think has improved, what hasn't changed? And maybe what might have gotten a little worse?
Todd Schneider: Yes, Kartik. Our business is performing really well, and we like the momentum. You've seen that the Rental business is continuing to improve. We're really encouraged by that. But each of our 3 route-based businesses are performing at a high level, Uniform Direct Sale business, the performance there in Q1 was a 30 basis point headwind for the company on growth. So if you solve for that, then the business would have grown at 9%. So that would be really good. So we like where we are. And as I mentioned earlier, Kartik, that we are investing for the future because we think the future is bright because of all the opportunity ahead for us and the position that we're trying to put our partners in -- our employee partners in and the value we're trying to provide for our customers.
Kartik Mehta: And just a follow-up. You talked about M&A and obviously, you are very active in the M&A world. I'm wondering if you're changing any change in prices for M&A in either of the businesses and if maybe sellers are getting a little bit maybe lowering prices because of what's going on.
Todd Schneider: Good question, Kartik. No, I wouldn't say there's any real change in prices. It's trying to predict when someone is ready to sell their business is really challenging. There's all kinds of items that come into play, succession planning, health, maybe what they look at for how their business is going to perform in the future. There's all kinds of things. So trying to predict that one is challenging. What we can control is making sure that we're in a position to leverage our relationships. And we've invested over the years to make sure that we are in a position to do that, and we'll continue to do that. Jim and I are very involved with those because of -- well, we've known many of those people for decades. So -- and we think that our reputation is such that we're well positioned for when those opportunities come to the table.
Operator: And our next question comes from Leo Carrington from Citigroup.
Leo Carrington: Just one follow-up for me. If you could elaborate, please, on the points you made on tariffs. I think you probably were focusing more on the uniform's rental costs, but have you seen any effects on your cost base in terms of CapEx? Any changes to your CapEx expectations?
Todd Schneider: Yes. Thank you, Leo, for the question. The tariffs are -- as I mentioned, we're not immune from them. But our supply chain organization supports our entire business, not just our Rental business, and they're doing a great job. So when I talk about a great job, all those items of the geographic diversity, the -- having optionality with all the different providers that applies to each of our businesses, and as a result, we're finding ways to become more efficient. So that culture is shining through. And when you go through really challenging times, like what tariffs throw at you, it gives our organization opportunity to shine. And our supply chain is doing just that. And they're continuing to fight through what is a challenging environment. From a CapEx standpoint, we've -- our 4% targeted CapEx, I think you'll see that be consistent. We would expect that, that would be where we plan to be moving forward.
Operator: And at this time, there are no further questions. I would like to now turn the call back over to Jared for closing remarks.
Jared Mattingley: Thank you, Ross. Thank you for joining us this morning. We will issue our second quarter of fiscal 2026 financial results in December. We look forward to speaking with you again at that time. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.